Operator: Ladies and gentlemen, thank you for standing by, and welcome to Cabot's First Quarter 2023 Earnings Conference Call. After the speaker's presentation, there will be a question-and-answer session, instructions will be given at that time. Please be advised that today's conference may be recorded. I would now like to turn the conference over to your speaker host, Steve Delahunt, Vice President, Treasury and Investor Relations. Please go ahead.
Steve Delahunt: Thank you, Michelle, and good morning. I would like to welcome you to the Cabot Corporation earnings teleconference. With me today are Sean Keohane, CEO and President; and Erica McLaughlin, Executive Vice President and CFO. Last night, we released results for our first quarter of fiscal 2023, copies of which are posted in the Investor Relations section of our website. The slide deck that accompanies this call is also available on the Investor Relations portion of our website and will be available in conjunction with the replay of the call. During this conference call, we will make forward-looking statements about our expected future operational and financial performance. Each forward-looking statement is subject to risks and uncertainties that could cause actual results to differ materially from those projected in such statements. Additional information regarding these factors appears in the press release we issued last night and in our 10-K for the fiscal year ended September 30, 2022, and in subsequent filings we made by the SEC, all of which are also available on the company's website. In order to provide greater transparency regarding our operating performance, we refer to certain non-GAAP financial measures that involve adjustments to GAAP results. The non-GAAP results -- non-GAAP financial measures referenced on this call reconcile to the most directly comparable GAAP financial measure in a table at the end of our earnings release issued last night and available in the Investors section of our website. I will now turn the call over to Sean, who will discuss the first quarter highlights, some recent recognition we received with respect to our leadership in ESG and our progress in the area of Battery Materials. Erica will review the company and business segment results, along with some corporate financial details. Following this, Sean will provide closing comments and open the floor to questions. Sean?
Sean Keohane: Thank you, Steve, and good morning, ladies and gentlemen. Welcome to our call today. I'm pleased with our first quarter results as they were in line with our expectations and the strategic developments that informed our full year guide in November remain on track. As a result, we remain confident in our full year outlook and are reaffirming our guidance range of adjusted earnings per share of $6.25 to $6.75. In the first fiscal quarter, we delivered adjusted earnings per share of $0.98, despite significant headwinds, including lower demand in China due to significant levels of COVID outbreak, elevated levels of customer destocking across most value chains and softness in key end markets in Performance Chemicals. EBIT and Reinforcement Materials was up 11% year-over-year, demonstrating the structural improvements we've made in recent years to the business and the resilience of the replacement tire market. We also concluded our entire customer contracts with better pricing than we originally forecasted back in November, underscoring Cabot's value proposition of supplier liability, quality and sustainability. Further on the strategic front, Battery Materials continues to outperform the market with year-over-year volume growth of 63%. Overall, we are very pleased with our strategic progress, and we believe the company is well positioned for another year of earnings growth. Our leadership in ESG continued to be recognized in the quarter. First, we were named by Newsweek as one of America's most responsible companies. This is the fourth consecutive year that we've been included on Newsweek's list which recognizes our strong performance in the areas of environmental, social and governance, and we're very proud of this recognition. Second, we were named by Investor's Business Daily as one of the 100 best ESG companies in 2022. The list recognizes companies with superior ESG ratings in addition to strong fundamental and technical stock performance. And finally, we recently have been named one of America's Great Workplaces for Diversity 2023 by Newsweek and Plant-A Insights Group. This newly established list recognizes the top 1,000 companies in the U.S. that not only celebrate diversity would implement policies that cultivate inclusive workplaces. Cabot received a 5-star diversity score, the highest recognition available. This recognition is a testament to our efforts to promote and encourage diversity in all its forms. We look forward to continuing to advance our goals of fostering inclusion and supporting employee development as well as increasing diverse representation across our company. Leadership in the space of sustainability is central to our strategy in these forms of external recognition acknowledge our progress and our source of motivation for our employees. I look forward to updating you on further developments as we progress on our ESG journey. I've talked quite a bit about the growth in Battery Materials over the last few quarters, as I believe it represents a transformational opportunity for Cabot, driven by growth in the demand for electric vehicles and lithium ion batteries. Global demand for critical battery materials such as our conductive carbon additives is expected to grow in the range of 20% to 30% annually over the next decade. Growth potential in the U.S. is expected to outpace global growth as penetration of EVs accelerates from what is a small fraction of car sales today. The U.S. growth is aided by recent U.S. government announcements targeted to accelerate the build-out of a domestic EV battery supply chain. As part of these efforts, federal and state governments have implemented a variety of programs in the form of grants, loans and tax incentives. To meet the growth expectations of our customers, we recently announced plans to add conductive carbon additives capacity in the United States. This investment located at our existing facility in Tampa, Texas is part of an approximately $200 million planned investment program over the next 5 years. In addition to the Pampa [ph] conductive carbons expansion, we also intend to invest in a new CNT dispersion capacity in the U.S., which will bring together the powerful combination of conductive carbons, carbon nanotubes and blends, offering our customers optimal performance and formulation flexibility. These capacity investments will also support the critical need of our customers for domestic supply. During Investor Day in December of 2021, we outlined the capacity investment program that would add approximately 30,000 metric tons of CCA capacity through 2024. These projects are all on track for completion by 2024 and support our communicated growth target of 50% plus for Battery Materials through 2024. The Tampa expansion will add an additional approximately 15,000 metric tons of conductive carbon capacity, thereby driving growth from 2025 and beyond. At Cabot, we've been building out our Battery Materials CCA product line for several years and have been extending our leadership position in this transformational space. We currently have established CCA capacity for Battery Materials in the U.S., Europe and Asia, which provides our customers with security of supply but also gives Cabot an advantage over many competitors, which are largely operating in the Asia region. Our global footprint gives us the opportunity to expand capacity quickly to meet the expected sharp ramp in demand from our customers. At Cabot, we have the flexibility to either expand on existing sites or upgrade current assets to produce Battery Materials products as we're currently doing in Tianjin, China. Our ability and track record to quickly scale up capacity additions is something that our customer’s value at Cabot and this directly supports their imperative to regionalize the material supply chain. We believe our broad offering of CCAs along with our existing network of plants and the talent of our people uniquely positions Cabot to support the growth expectations of our customers here in the U.S. The planned investments are another step in our strategy to capitalize on the fundamental transition from internal combustion engines to electric vehicles. Our planned investments will help support the electric vehicle transition and solidify Cabot as a global leader in Battery Materials. I will now turn it over to Erica to discuss the segment and financial performance. Erica?
Erica McLaughlin: Thanks, Sean. I will start with discussing results for the company and then review the segment results. Adjusted earnings per share for the first quarter of fiscal 2023 was $0.98 and compared to $1.29 in the first quarter of fiscal '22, with growth in the Reinforcement Materials segment offset by declines in the Performance Chemicals segment. The quarter was also impacted by higher net interest expense of $7 million year-over-year and unfavorable foreign exchange impact of $13 million. The current full year impact from foreign currency exchange is now estimated to be just above $20 million with the majority of the year-over-year unfavorable comparison expected to be in the first half of the fiscal year. Our expectation of net interest for the year is unchanged from last quarter, and we expect $20 million higher year-over-year net expense. Discretionary free cash flow in the quarter was $63 million, and we ended the quarter with $190 million of cash. Working capital in the quarter was a use of cash of $34 million. And looking ahead, based on the forward curve for oil prices, we expect working capital to be a source of cash of approximately $100 million over the remaining three quarters of the fiscal year. Capital expenditures in the quarter was $35 million and we expect full year CapEx to be approximately $300 million. The balance sheet remains strong with total liquidity of $1.1 billion, and net debt-to-EBITDA of 1.8 times as of December 31, 2022. Our operating tax rate was 25% for the quarter, and we anticipate the fiscal year rate will be between 24% and 26%. Now moving to Reinforcement Materials. During the first quarter, EBIT for Reinforcement Materials increased by $9 million as compared to the same period in the prior year. The increase was driven by improved unit margins from higher pricing and product mix in our 2022 calendar year customer agreements, partially offset by 5% lower volumes and a $5 million unfavorable foreign currency impact in the quarter. Globally, volumes were down in all regions in the first quarter as compared to the same period of the prior year, with declines of 5% in the Americas, 5% in Europe and 6% in Asia. Lower volumes were largely due to year-end destocking in excess of the normal seasonal effect in all regions and the impacts from COVID-19 outbreaks in China. Looking to the second quarter of fiscal 2023, we expect the Reinforcement Materials EBIT to improve both year-over-year and sequentially due to the outcome of our calendar year 2023 customer agreements. The net year-over-year benefit from contract pricing and product mix improvement is now expected to be a net benefit of approximately $25 million per quarter. Based on the finalization of customer agreements, and updates to the offsetting cost factors such as inflation, energy center revenues and foreign currency impacts. This results in a $100 million annualized benefit, of which we expect to see approximately $75 million over the three quarters in our fiscal 2023. Offsetting the benefit from the pricing and product mix in the second quarter, we expect an unfavorable impact on volumes and margins in China on the COVID-19 outbreaks. As you may recall, China represents approximately 25% of total segment volumes, and we estimate the impact in China in the second quarter to be in the range of $10 million to $15 million. We anticipate volumes to recover in China after the Lunar New Year holiday and to return to more normalized levels in the second half of the fiscal year. We expect volumes to increase sequentially in the second quarter in Europe and the Americas, and we see this recovery having already started in January. Overall, we expect results in this segment will deliver another impressive year of double-digit percentage growth. Now turning to Performance Chemicals. EBIT decreased by $23 million in the first fiscal quarter as compared to the same period in fiscal 2022. The decrease was principally due to lower volumes, higher fixed costs from new capacity adds and an unfavorable foreign currency impact in the quarter. Year-over-year segment volumes in the first quarter decreased by 8%. Volumes in our specialty carbons and compounds and fumed oxide [ph] product lines declined by 10% to 15%, largely due to elevated levels of year-end destocking, softness in key end markets and the impact from the COVID-19 outbreak in China. These volume declines were partially offset by another quarter of strong volume growth in battery materials with volumes up 63% year-over-year. Fixed costs increased by $8 million in the quarter driven by our new capacity adds, including the new specialty carbons plant in Xuzhou, China and the newly acquired plant for Battery Materials in Tianjin, China. And our specialty compounds plant came back online in Belgium. In addition, the translation impact of the stronger U.S. dollar was unfavorable by $4 million year-over-year in the quarter. Looking ahead to the second quarter of fiscal 2023, we expect volumes to improve sequentially across our larger product lines as destocking comes to an end and our key end markets begin to recover. We have seen improvement in the month of January across our product lines from the levels experienced in the first quarter. However, we expect volumes to continue to be lower on a year-over-year basis in the second quarter largely due to lingering effects from the COVID outbreaks in China, partially offset by another strong quarter of volume growth in Battery Materials. EBIT in the second quarter is also expected to be impacted from the higher costs year-over-year related to increased capacity and growth investments and the unfavorable impact of foreign currency translation. In addition, we do not expect to see the same benefit from price increases ahead of raw materials in our fumed metal oxide product line that we realized in the second quarter of fiscal 2022. These items are expected to be a headwind of approximately $10 million each for a total of $30 million on a year-over-year basis in the second quarter. As we move to the second half of the year, we expect volumes across our larger product lines to continue to improve each quarter with the second half of fiscal 2023 back to more normalized levels. We also anticipate that our growth vectors will contribute substantially to the earnings as the demand profile for battery materials and inkjet packaging step up in the second half of the fiscal year. Overall, the segment is expected to see lower EBIT year-over-year in the first half of the year from the weaker volume profile. As volumes improve across the larger product lines and the momentum continues in our growth vectors, we anticipate EBIT to be stronger year-over-year in the second half of the year. I will now turn the call back over to Sean.
Sean Keohane: Thanks, Erica. Moving to our 2023 outlook. As I mentioned in my opening remarks, we feel very good about the strategic growth drivers of Cabot and are reaffirming our outlook for adjusted earnings per share in the range of $6.25 to $6.75, which is up 4% at the midpoint year-over-year. Looking more closely at the full year guide to achieve the midpoint of the outlook implies a rate of EPS growth year-over-year in the last three quarters of 11%, which would reflect another structural step-up in the earnings power of the company. In terms of the key assumptions that underpin our outlook, Erica has covered these in her remarks. As we think about the quarter, we shape of earnings, the second quarter results are expected to be up sequentially but down year-over-year with EBIT accelerating as we move through the year. We expect that the second half of the fiscal year will deliver higher year-on-year adjusted earnings per share. At a strategic level, the key drivers of earnings growth are continuing to develop as we expected. We had a tremendous outcome to our calendar year 2023 Reinforcement Materials customer agreements, reflecting the tight regional supply-demand dynamics and the importance of both quality and sustainability to our customers. This will drive our expectation for another year of strong double-digit EBIT growth in the Reinforcement Materials segment. In Battery Materials, we continue to expect EBITDA for fiscal year 2023 to be in the range of $45 million to $50 million, up from $29 million in fiscal year 2022. We are investing behind this strong secular growth trend and are excited by the transformational potential that the shift to EVs presents for Cabot. And while Performance Chemicals is impacted by external demand environment in the first half of the fiscal year, we expect our growth investments will enable a strong recovery in the second half of the year as demand normalizes and then grows over the longer term. Overall, I'm very pleased with how the company is positioned today, and I'm confident in the outlook for the year. We are executing very well against our Creating for Tomorrow strategy, and this strategy is built to grow, transform and reshape the valuation potential of Cabot. Thank you very much for joining us today. And I will now turn the call over for our Q&A session. Michelle, I think we're ready for that now.
Q - David Begleiter: Thank you. Good morning. Sean...
Sean Keohane: Good morning, David.
David Begleiter: Good morning. What are you guys seeing right now in China in terms of reopening post the Chinese Lunar New Year?
Sean Keohane: Yeah. Well, as you know well, David, certainly the China policy on COVID was quite an abrupt change in the December period, and that really had a chilling effect on just consumer activity and demand and the like. But as a result, I think COVID has burned through pretty fast in China. And so as we on the ground kind of see what's happening coming out of Chinese New Year, first of all, there was a lot of activity in China, a very high level of domestic travel in China, which was, I think, a positive sign. And then it seems that the consumer activity has picked up and is quite strong. People are out and about and I think that's what we're hearing from our team on the ground, and I think that's positive. So as we progress through the quarter here, certainly, the January month was weak because of the COVID infections and the Chinese New Year holiday falling in January this year. But I think the expectation is that, that will progress as we move through the quarter here and early signs just in terms of consumer activity certainly support that. So that's our expectation, and then things will normalize in the back half of the year, we'll see volumes be more at our normal level. And I think that lines up with what most folks, most economists are expecting. I think there's a pretty - there's a growing level of confidence around the expected GDP for the year in the 5-plus percent range. I think the stimulus actions are in place and now with COVID having burned through pretty quickly, and I think a lot of pent-up frustration and pent-up demand from a very long and difficult COVID period there in China, I think that speaks to probably a bounce. That seems to be the prevailing view. But that's what we're seeing right now, David.
David Begleiter: Very good. And just on Battery Materials, given the strong start of your volumes up, I guess, 63%. Is there some upside to your EBITDA forecast this year of 45 to 50?
Sean Keohane: I would say the 45 to 50 is obviously a pretty strong number, up from the 29 that we posted. So I think that guide we've given, we feel very good about, but it's a pretty strong number and higher than the 50-plus percent that we communicated at Investor Day. So I think that's a very strong result, and we're continuing to invest behind this one. And I think the value proposition from our customers is really showing through, not only the product quality, the range of CCAs that we have, the ability to blend conductive carbons and CNTs and then our ability to support them with regional capacity expansions. I think that will be the theme here over the next couple of years. So we feel very good about it, David.
David Begleiter: Thank you very much.
Operator: Thank you. Our next question comes from Joshua Spector with UBS. Your line is open.
James Cannon: Hey, guys. This is James Cannon on for Josh. I was just wondering about with the disruption you've seen in China, has that had any impact on the carbon black spreads you're seeing?
Sean Keohane: Sorry, the carbon black...
James Cannon: Sorry, the reinforcement spreads.
Sean Keohane: I see. Okay. Well, as Erica commented, we are expecting in Q2 to be impacted to the range of $10 million to $15 million in China from the impacts of the COVID outbreaks. That's a combination of both some volume and margin impact. So as volumes are weaker and as people are holding some inventories, naturally, there's some pressure on the pricing. But as the demand begins to pick up here as we come out of Chinese New Year, we would expect then the unit margins would move back to a more traditional level. But the range we're expecting in the quarter from both the demand and margin impacts would be in that $10 million to $15 million range that Erica had referenced.
James Cannon: Okay. Thanks. And then just as a quick follow-up. Just if we think about moving into next year, you have pretty strong reinforcement pricing gains this year. How should we think about the durability of those? Can you hold on to them? Is there a potential for even more pricing?
Sean Keohane: Yes. So I think the way to think about that is to come back to the structural dynamics in the business. And so the business in Reinforcement Materials is principally a regional business. And so the regional supply-demand dynamics are very important. And what's been happening over the last number of years is a continued tightening there with - especially in the West with the more mature regions with effectively no capacity additions. And I think the rising cost of sustainability, which is important to our customers. So I think that supply-demand tightness, the commitment to sustainability. These trends are quite structural. And therefore, we feel very good about the place that we're in right now in terms of pricing and margins. And difficult to comment beyond this year other than to re-communicate that in the negotiating period that we had this year, we did have some customers that closed multiyear agreements and those agreements included price increases again for 2024. So I think that's a sign that would be consistent with the structural setup that we see in the industry.
James Cannon: Okay, great. Thank you.
Operator: Thank you. Our next question comes from Jeff Zekauskas with JPMorgan. Your line is open.
Jeff Zekauskas: Thanks very much.
Sean Keohane: Hey, Jeff.
Jeff Zekauskas: Hi. Your SG&A expense was down year-over-year in the first quarter. What's that about? And should SG&A expense grow year-over-year or shrink?
Sean Keohane: Yes, Jeff, maybe I'll ask Erica to take that one.
Jeff Zekauskas: Sure.
Erica McLaughlin: So in Q1 of '21, just a reminder that Purification Solutions was still in the numbers. So while a zero EBIT impact, you'll see it in revenue, cost of sales and SG&A. And some of the main reason you see the decline from '21 to '22 is Purification Solutions not being included in that number when you're looking at the GAAP financial statement. And so - and then your second part of the question on will SG&A grow? I think, yes would be the answer. I think, in reasonable amount, it would. We are making some investments in the growth vectors, particularly Battery Materials. And then as you would expect, there is cost of living adjustments on the salaries that would also impact the number.
Jeff Zekauskas: Can you talk about Russia exports in carbon black in calendar 2022? In the end, did much less carbon black get to the West or the amount that they usually produce? And how do you see 2023 playing out for Russia, Ukraine and the annual [ph] production there?
Sean Keohane: Yes. Yes, I'll take that one, Jeff. So the picture, I think, very clearly, our customers, particularly in Europe, who are the biggest consumers of the Russian material have decidedly moved away from that, I think, for obvious reasons, both security of supply, but also the reputational impacts here. So I think that trend is very clear. Now Russia did continue to produce and material was exported. It seems to be - it's difficult to exactly trace where it's going, but I think we can conclude that it's not having any material impact in Europe. There's materially a net shortage in Europe that's been creating even further tightness there and supported the recent negotiations. So I think that picture is pretty clear to us where exactly the material is flowing is a little more difficult. My sense is that some of it might flow to places like Turkey and other out into smaller markets. And - but that would not have much impact on the overall dynamics. And I think the way our negotiations played out, I think that's - that would be consistent with that view.
Jeff Zekauskas: Your volumes in Reinforcement Materials were negative 5 for the quarter, and you said that there are still issues going on in China. So I assume that volumes will again be negative in the second quarter. So in rough terms, do you expect your carbon black in your reinforcement volumes to be about flat for the year?
Sean Keohane: Yes. I think on the volume picture, Jeff, I think that's a reasonable view. I think we'd expect full year volumes and reinforcement to be probably up modestly, which would be in line with expectations for tire production from LMC. LMC right now is projecting about plus 1% or something like that. And we would expect our volumes to be in line with that. Obviously, the shape of the year is a little bit different because of the China COVID impact. But I think that high level takeaway that you have, Jeff, is a reasonable one, up modestly is kind of the bottom line we would expect.
Jeff Zekauskas: And then lastly, in what's going on in the silicones and siloxanes market? I would have thought that there would have been a large inventory destock in the December quarter and maybe meaningful destock in the March quarter. So is that another one where volumes will be negative in the first half? And maybe you can get back to flat, maybe you can't for the year?
Sean Keohane: Yes. So let me comment on the PC segment, Performance Chemicals. So we would expect the full year volumes to be up in the fiscal year in the low single digits with positive year-over-year comps in the second half. And then more specifically, of course, in Battery Materials, we'd expect the volumes to be in that 50% plus that we communicated at Investor Day. But if you roll all of Performance Chemicals together, we'd expect to be up in the low single digits. But again, the shape impacted by destocking across Q1 and some into Q2 and the China effect in our Q2 with then comps turning positive in the second half to then blend into a full year growth in the low single digits. That's a reasonable way to think about the Performance Chemicals segment.
Jeff Zekauskas: But what about fumed metal oxides itself?
Sean Keohane: Yes. Yes. So definitely, silicones, you're definitely seeing some pressure and some destocking. And as a result, the same flows through into silica [ph] and I think that's because there's a certain amount of the siloxanes and silica that goes into markets like construction and those are weaker for sure. So there's some destocking to reflect the weaker demand outlook in construction. And then you've also got the China impact. China makes about half of the world's silicones and about half of the world is silica. And so you've got the China phenomenon playing out with COVID in our - in December and into our Q2.\ So I think the shape in silica and silicones will be similar. You'll see it be weaker in the first half and then beginning to improve and normalize in our back half of the year. So that's what we see, Jeff.
Jeff Zekauskas: Okay, good. Thank you so much.
Operator: Thank you. Our next question comes from Laurence Alexander with Jefferies. Your line is open.
Dan Rizzo: Good morning. It's Dan Rizzo on for Laurence. Thank you for taking my question. With the new capacity that you have coming online in CCA, and elsewhere within Battery Materials, is that already contracted to customers? So when the new capacity comes online and you already have it sold? Or is this something you're going to go to the market with?
Sean Keohane: Hi, Dan. So I would say the way to think about that is we're selling to most of the major battery producers in the world today. So I think I've commented in the past that the top eight, it's a pretty concentrated industry. So the top eight makeup eight players make up close to 90% of the market, and we're currently selling to six of the top eight with development programs to the - with the remaining two. So I think we're on a good path here. And so with already established commercial arrangements and volumes, then our new capacity would really be in place to serve their growth. So it's really - that's the way to think about it. Now the new capacity that we recently announced is capacity that will come online and have impacts after 2024. So we already have enough capacity and between existing and what projects have already been underway to support our Investor Day growth objectives that we communicated. So this is really an investment that's sort of funding the next wave of growth with a particular focus on the U.S. as there's a real build up in momentum to establish a supply chain here in the U.S.
Dan Rizzo: Okay. And then - I don't know if I missed this or not, but do you expect any new capacity in Specialty Black or Rubber Black or meaningful new capacity in the next 2 to 3 years industry-wide? And I guess what are you guys also planning yourselves?
Sean Keohane: Yeah. So in terms of our capacity in specialty carbons, we did bring on a new a new plant in Xuzhou, China. So in Erica's comments, she mentioned that the cost of that came online in the quarter. But of course, the volumes aren't feeling yet because of the weak China environment. But that will give us growth over the next number of years. So we feel very good about the capacity investments for specialty carbons in the next couple of years. Don't see the need for further investment beyond that. We think that will support the growth in the business nicely. And so that's with respect to specialty carbons. In Reinforcement Materials, we continue to have a philosophy of trying to support our customers here by creating capacity through improvements in overall equipment effectiveness or OEE looking next at low-cost debottlenecks and then being very disciplined and strategic as it relates to new units. And so the one place where we envision a new unit of capacity would be in the highest growth region of the world, which is in ASEAN in Indonesia, specifically for us. If I just kind of - so that's what we are contemplating. But if I just pull it up to the industry level and Reinforcement Materials, we have not seen any announcements in Reinforcement Materials in the mature markets other than Orion [ph] had a tranche of capacity that came on in Europe that I think is probably primarily sold at this stage. I think the market is pretty snug and expected to be in the next few years just based on the fact that there haven't been any new announcements and you think about kind of a 3-year runway to build something like permit and build, it takes some time. So that's how we would see the kind of overall industry view.
Dan Rizzo: Thank you very much. That was very helpful.
Operator: Thank you. Our next question comes from Chris Kapsch with Loop Capital. Your line is open.
Chris Kapsch: Yeah, good morning. I had a question on the upside that you referred to in your Reinforcement Materials for the calendar year '23. And I know you mentioned pricing and mix were drivers there. But I'm curious if volumes - we're also positive volumes relative to prior expectations. We're also an outcome of the balance of those contract negotiations. Just asking because you have this downdraft in China affecting at least the first quarter of calendar '23. So curious if the better volumes in other regions are contributing to the upside there. And if consequent, unit variances are part of the lift?
Sean Keohane: Yeah. So it's principally price and mix, Chris, as we closed out. So in that $25 million number, net number that Erica commented on that increment versus what we had communicated in our last call of $5 million is principally price and mix. And so as we closed out final agreements, of course, given the structural dynamics in the industry, there was more and more competition for the remaining capacity. And so the last group of agreements closed in a stronger place than we had anticipated at the point when we last communicated in November. So there's not a volume in that $25 million net number that Erica commented on.
Chris Kapsch: Got it. That's helpful. And then just in the Performance Chemicals and just wondering, you mentioned the destocking in fumed metal oxide, in silica. Just wondering about where else you're seeing that softness or destocking? Is it pronounced in the silicas as well as the master batches [ph] Or is it kind of across specialty? Just where is it most acute [ph] and in what regions? That would be helpful. Thank you.
Sean Keohane: Yes, sure. So in terms of destocking, Performance Chemicals typically experiences deeper destocking and restocking cycle than, say, Reinforcement Materials because the value chains are longer here, there could be three, four, five people in a chain all the way to the end product, whereas in a business like Reinforcement, it's more shallow of the value chain and us to the tire producers to the customer. So that's a dynamic - that's part of the industry, so just a reminder on that. Now we see that destocking seems to be coming to an end as we move out of Q1 and into the early part of Q2 here. And so that's a positive sign. Commodity prices have come off from their peak, which is good. Normally, what you see when commodity prices, whether you're talking about oil or polymers or energy prices when those start dropping, people want to pull back on inventories because they don't want to be caught with high-cost inventory. And so you have a bit of this destocking phenomenon, I think with those having come off their peak, I think that supports kind of stabilizing around this destocking phenomenon. So that's what we're seeing here. There are certain - and I would say that's consistent across the major product lines in Performance Chemicals. So carbons, in silica and specialty compounds, I would say they're seeing at a high level, a similar dynamic here, Chris.
Chris Kapsch: Got it. And then one last one on Battery Materials because it's obviously a good story and a nice growth driver for you guys. And through the lens of me following lithium companies, you see a lot of concerns downstream in that value chain from battery - cathode battery OEs about security of supply and just given constraints on the supply of Battery Materials. So just wondering, is that something that's surfacing in your discussions and relationships with your customers' concerns about security of supply? And how is that manifesting in terms of your supply agreements? Thank you.
Sean Keohane: Yes. Thanks, Chris. So for sure, the security of supply of materials, the chemistry that's essential to the batteries for sure, that is getting a lot of attention. I think what gets the most attention, of course, are the large volume materials. So the lithium, the graphite, the large volume materials, which are heavily concentrated in China. And so as you were - as you're seeing the regional build-out of battery plants in the U.S. and Europe and the growing tensions with China, I think it's amplifying the importance of supply security. And I think that is generally true, I would say, in the space where we play in conductive carbon additives. Again, it doesn't get the headline at the very large volume material concerns would get. But I think customers clearly understand and want regional supply. And when they look at Cabot, they see a value proposition that I think is compelling to them because of the product suite that we have, the capacity that we have around the world, our commitment to expand around the world and our ability to do it and scale up in a way that supports their needs. I think that value proposition is really showing through. And I think it is one of the drivers of why our volumes are outperforming the market growth rate and have been for - consistently for some time here. So we probably won't read about it on the front page of the paper like some of the other materials, but that dynamic is important in our materials as well.
Chris Kapsch: Appreciate the color. Thanks.
Operator: Thank you. And I'm not showing any further questions at this time. I would now like to turn the call back over to Sean Keohane for any closing remarks.
Sean Keohane: Great. Thank you, Michelle. And thank you, everyone, for joining today. Thank you for your continued support of Cabot, and we look forward to speaking with you again next quarter. Take care.
Operator: This concludes today's call. Thank you for your participation. You may now disconnect. Everyone, have a great day.